Reinout van Ierschot: Thank you and good afternoon, ladies and gentlemen. Thanks for joining us. Welcome to KPN’s Third Quarter 2021 Results Webcast. With me today are Joost Farwerck, our CEO and Chris Figee, our CFO. As usual, before turning to our presentation, I would like to remind you of the Safe Harbor on Page 2 of the slides, which also applies to any statements made during this presentation. In particular, today’s presentation may include forward-looking statements, including KPN’s expectations with respect to its outlook and ambitions, which were also included in the press release published this morning. All such statements are subject to the Safe Harbor. Let me now hand over to our CEO, Joost Farwerck.
Joost Farwerck: Thank you, Reinout and good afternoon everyone. Today’s results show another important proof point of our strategic progress. Mass-market service revenues grew again in the third quarter, supporting service revenue growth for the group as a whole and this time growth was visible in all our mass-market segments, most notably in SME segment. We delivered service revenue growth in SME ahead of our commitment to stabilize before year end and this is an important milestone for us as it provides confidence to deliver the turnaround for the entire business segment during our current strategic period. We have seen strong momentum of mobile inflow in recent quarters and this accelerated further to 67,000 net adds across consumer and business this quarter. Consumer mobile service revenues continued to grow, supported by strong performance of our unlimited propositions. And with solid adjusted EBITDA growth in the third quarter and strong year-to-date free cash flow, we remain on track and confident that we will deliver on our full year 2021 outlook. At the second quarter results, we announced a €200 million share buyback, reflecting our confidence in the successful execution of our strategy. We have nearly completed this lack of a share buyback program, which we see as the first step to structurally return additional capital to our shareholders in the coming years. We continue to make good progress against the strategic and financial ambitions of our strategy, accelerate to grow, and we remain confident that this strategy will create long-term sustainable value for all our stakeholders. We rolled out fiber to 93,000 households in the third quarter, a figure slightly lower than other quarters as a result of the August holiday period. This year, we have rolled out to 330,000 homes and over the last 12 months, we have added 424,000 homes. We continue to successfully add new fiber customers and upgrade existing copper customers in fiber areas. This will be a key driver for sustainable revenue growth. The joint venture, Glaspoort, is now fully up and running and has recently started its wholesale broadband access services for wholesale providers. Together with Glaspoort, we are going to jointly reach 80% of Dutch households by the end of 2026. And after reaching that point, CapEx will come down to a lower, more sustainable level. After returning to growth in the second quarter, we have been able to show continued growth in mobile service revenues this quarter and this was mainly driven by an acceleration of the commercial performance of the last quarter and the higher ARPU level. Fixed mobile revenues increased 3.5% and total consumer service revenues grew slightly by €2 million. Customer satisfaction remains one of our top priorities as the progress in the last two quarters, have been encouraging following a few tougher quarters. It’s been pleasing to see our efforts in this area are paying off. Consumer NPS recovered strongly to plus 15%, and this is a reflection of the success of our attractive KPN and Simyo lineup, the quality of our products and services, and the customer journey improvements in several areas, such as customers moving into new homes, complementary fiber upgrades of copper customers in fiber areas, and a new KPN WiFi manager we introduced for our customers. Now, let’s take a deeper look into our consumer KPIs. Broadband net adds were again relatively stable this quarter. Within the mix, we see a positive inflow on our KPN brand. And this was supported by solid fiber inflow, which level was seasonally lower at 36,000 fiber households, but fully in line with our expectations. Our fiber ARPA remained significantly higher compared to copper due to the take-up of higher speeds, more value-added services and more SIMs per household. And importantly, for the first time, our fiber service revenue growth was higher than the copper decline. We delivered 27,000 postpaid net adds in the third quarter in consumer markets. And together with a 1.7% higher postpaid ARPU, this led to mobile service revenue growth of 2.4%. Let’s now move to the B2B segments. This year, we started to run the business segment by focusing on three distinct customer segments: SME, LCE and Tailored Solutions. At our strategy update last November, we committed to stabilization of SME service revenues by the end of this year. And we have delivered on that commitment well ahead of plan, driven by solid commercial momentum in both broadband and mobile. And this was the main driver for the improvement in our business service revenue trend to a decline of 2.7% year-on-year compared to a level of around minus 5% in previous quarters. The performance in LCE and Tailored Solutions was in line with our expectations. And as we highlighted earlier, it will take us some more time than in SME to deliver the turnaround there. Business NPS remained at a positive level of plus 3% as customers continue to value KPN for the stability, the reliability and quality of our networks and services. Let’s dive a little bit deeper into the drivers of the SME turnarounds. Our strong focus on acquiring new and retaining existing customers by migrating to KPN ONE is paying off with solid base trends. This, in turn, provides a strong platform to increase density of product take-up by our customers as we leverage up and cross-sell opportunities. Looking at the revenue development of the three product groups within SME, we can conclude the following. We see healthy broadband-based developments, also supported by fiber and self-employed inflow and this resulted in a strong growth of broadband and network service revenues. The mobile market remains competitive, resulting in continued price pressure. However, strong inflow of new mobile customers among others, driven by unlimited, is now offsetting that effect. And this led to stabilization, mobile service revenues in SME in the third quarter, an improving trend compared to minus 11% in Q1 and minus 4% in Q2. And finally, in fixed voice, the pace of the decline here moderated from around minus 20% to approximately minus 10%. And this is partly due to the annualization of the phase-out of ISDN2 last year, which reduced the year-on-year headwinds. All-in-all, group performance in SME, which gives me confidence that we will also deliver a similar turnaround in LCE and Tailored Solutions the other parts of B2B. In wholesale, revenues increased by more than 7% in the third quarter supported by our successful open access policy. In mobile, we added 33,000 customers and that’s making a total postpaid growth for the group, including consumer and B2B, of 100,000 this quarter. Wholesale providers continue to strongly outperform the two incumbents in terms of broadband base growth. In this third quarter, 18,000 broadband lines were added, reflecting the attractive access terms we offer to service providers. Recently, we entered into several long-term agreements with some of the larger broadband service providers in the Dutch markets. ACM is currently conducting its fixed access review and we strongly believe that we are operating in a highly competitive market. And with our open wholesale access model, we guarantee sufficient room for wholesale providers to grow and to compete. And customers in the Dutch market get high-quality services, can easily switch and choose from a wide range of service providers that offer value for money. Now, over to Chris for our financial performance. Chris?
Chris Figee: Okay. Thank you, Joost. Financial performance of KPN, well, overall, I am pleased with the development of our key financial metrics this quarter. Let me start by summarizing some of these. Our adjusted revenues increased 1% year-on-year, supported by growth in mass-market service revenues. Our adjusted EBITDA after leases increased 1.4% at a margin of 46.3% for the quarter, despite a tough comparison base in terms of OpEx. Free cash flow was more or less flat versus last year in Q3. Year-to-date, however, our free cash flow increased 7.1%, despite higher CapEx and tax state. Our indirect cost savings run-rate this quarter was impacted by several factors. First, the comparable base for the third quarter last year was a tough benchmark to beat this quarter. So, this quarter year-on-year is not a good proxy for a normalized run-rate. Second, we continue to see some less tailwinds from COVID-related savings. And finally, some other elements affected our staff cost performance this quarter. Certainly, when compared to last year, it includes our recent CLA increase, dotations to employee-related provisions, lower CapEx charging and importantly, large restructurings in B2B and TDO, these were effectuated in the press for the first of October with the full impact visible in Q4, not in Q3. If we look through these specific effects, we see continued and structural decline in our cost base. This is evidenced by the continued decline of FTEs employed at KPN. For example, our own employee numbers are now significantly and structurally lower, even below 9,800, where we started with 10,100 in the beginning of the year. Our total staff, own staff and third-party staff, external staff is now 30% lower than Q1 2020, for example, as testimony to our continuous restructuring and structural cost improvements. We expect to pickup the pace of our reported cost savings run-rate by Q4 this year, which together with our mass-market service revenue performance will drive EBITDA growth well into 2022. Finally, please note that our CapEx spend is well under control. Fiber spends is up as we plan to do and non-fiber CapEx is down to the last year’s, testimony to our enhanced CapEx vigilance. If we dive into revenue growth, we see we delivered mass-market service revenue growth again this quarter, which also had the growth in the group’s overall service revenues. This is an important proof point for the success of our strategy and the first step towards sustainable top line growth for KPN. All three mass-market segments contributed to the 2.2% growth in the third quarter. Wholesale grew by 9.4%, mainly driven by broadband and mobile business and some support from seasonality and several smaller incidentals. SME service revenues inflected a 2.9% growth, driven by the success of our KPNa portfolio. In consumer, mobile service revenues continued to grow. As Joost said, fiber broadband service revenues were higher this quarter and a decline in copper, but again there was some offsetting effect by declining legacy services. Albeit small, it’s important to note that our mass-market segment is now no longer depending on wholesale to show stable to small growth from here on. Also executing wholesale, there is some growth. Our growth base is widening. In terms of revenue growth going forward, we expect some technical headwinds in the year-on-year comparison in Q4. We will still grow our mass-market service revenues to technical comparisons at a slightly slower pace than Q3. Notably, B2B will face a tougher revenue comp due to a spike in Q4 last year, which is mainly related to pass-through revenues in LCE and Tailored Solutions. And in B2C, more than half of the €8 million revenue correction we booked in the first quarter was actually related to the fourth quarter of last year, providing a more difficult comp for fixed service revenues next quarter. We expect both effectively technical in nature and temporary and fade again in Q1 next year, after which our top line growth will resume at the current pace. So in summary, our revenue will continue to grow. The base comparisons will prove difficult to read in Q4 and Q1, but underlying the solid growth rate in mass-market service revenues. In terms of cash, we have seen strong cash generation this year, despite higher CapEx and taxes. The higher CapEx related to the accelerated fiber rollout caused our operational free cash flow to decline, but it was counted by several other line items. More favorable developments in working capital as our continued effort to reduce working capital intensity is paying off. €38 million lower cash interest paid as a result of bond redemptions last year and lower cash restructuring impact. Our free cash flow margin improved to 13.7% of revenues and is on the clear path to improve further in line with our guidance. Our balance sheet continues to be resilient. Committed liquidity consisting of over €700 million of cash and short-term investments and a €1 billion undrawn sustainability linked RCF covers debt maturities well through to 2023. In the quarter, we extended our RCF, but added a sustainability-linked feature to it. This underlines our commitment to sustainable operations and sustainability-oriented financing strategies. For this Q2, net debt increased by €92 million, mainly driven by the €0.045 per share interim dividend in August for a total of €189 million and €90 million worth of share repurchases in August and September as part of the €200 million share buyback program for 2021, which is, as we speak, are nearly completed. And again, these were partly offset by free cash flow generated during the quarter. Our leverage ratio of 2.3x is 1 month higher compared to last quarter, but still comfortably below our ceiling of 2.5x. And reassured by our current financial performance and good strategic progress, we confidently reiterate our 2021 outlook and our ambitions for 2023. So, to summarize, as we noted in our statement this morning, the successful execution of our strategic plan enables us to return additional capital to our shareholders worth €200 million share buyback this year, which has nearly been completed at this point in time. Execution of our strategy is on track and we remain focused on delivering long-term value to all our stakeholders as today’s results show another important proof points of success and impact of our strategy. After returning to mass-market service revenue growth in Q2, we have delivered growth in SME service revenues this quarter. A number of business segments that have inflected increased gradually. Our margins, both in EBITDA and free cash flow terms, developed favorably and we feel confident about the cash generating related to group. And we remain fully on track to deliver our full year 2021 guidance and commitments. Thank you for listening. Now, let’s turn to your questions.
Operator: Thank you. [Operator Instructions] The first question is from Mr. Keval Khiroya, Deutsche Bank. Go ahead, please.
Keval Khiroya: Thank you. Two questions, please. And the first one being the revenue growth trend is obviously very impressive as – Chris as you highlighted, the Q3 OpEx reduction was a bit weaker. And can you help quantify the level of improvement we should expect for Q4? On my numbers, I was expecting €25 million to €30 million of OpEx reduction in Q4 based on the full EBITDA guidance? Does that seem reasonable to you? And secondly, how should we think about OpEx reduction for 2022? On the one hand, you have had slower progress in 2021, but on the other hand, that could also help the 2022 trend as well? So both those questions on OpEx, please. Thank you.
Joost Farwerck: Well, Keval, two questions on costs. First, let me outline again on costs. I mean we are seeing structural improvement in costs. As I said, the FTE levels are continuously declining. Our own staff, we are less than 300 since the beginning of the year, external staff also less than 300 and those are structural. Attrition is also good to work about – towards the 50 attrition FTEs leaving the company. We are hiring a bit back, but net-net, we are declining our staff level structurally. And again, there is some technical comparisons to Q3 last year, COVID, CLE, employment provisions, OpEx, CapEx charging, some investments in commercial success, those make for a slightly more difficult comparison to last year. So, the number you present for – we present for Q3 is a bit unflattering and distorted by the comparison. And finally, as I said, the restructurings that we planned for this year are more back-end loaded than kicking it in Q4. Long story short, you asked what’s the guidance and outlook for Q4. You said you have got €25 million to €30 million in your models at a reasonable model. I would – if I have such a model, I will keep that model up and running. It seems like a reasonable estimate to me. And as far as next year is concerned, well, our program is running. We have got our target and commitments. We see FTE levels declining, restructuring kicking in. So we will give you the full year guidance for 2021 when that moment is due. That’s going to be done at the full year results, but at this point in time, we stick to our overall commitments and we keep the cost program running.
Keval Khiroya: That’s it. Thanks, Chris.
Operator: The next question is from Mr. Joshua Mills, Exane. Go ahead, please.
Joshua Mills: Hi, guys. Thanks very much. A couple of questions from me. The first is on regulations, you mentioned the ACM review, but it would be great just get to a bit more of an overview in detail as to how you see the potential timing, the areas that could be impacted? And then finally, you can talk about extending some wholesale deals with larger customers. My question was, have you changed terms with T-Mobile before – after the recent announcement of the business sale? And then the second question was just around inflation and you have talked about how the active innovations you are making can deliver longer term cost savings. Are there any areas within your cost base, which are subject to rising inflation and how are the payroll contract set up to reflect that on staff? Thank you.
Joost Farwerck: Well, Joshua, let me first cover the ACM question you raised. Yes, so ACM is – our regulators investigating the fixed market. It’s a review they do every 3 years. So that’s not a surprise. Latest was in 2018, which was new, some of the highest score in the Netherlands in last year. So we currently were not regulated. In a whole discussion around market analysis on fixed broadband, we believe we have a strong position in a solid case. The market with our consumer broadband share of 38% against [indiscernible] with 42% did not really change compared to last year. We follow an open wholesale policy. We did not change after we were deregulated. And that’s dynamic reflecting competitive dynamics in the market, you could say. So we see wholesale providers actually gaining substantial market share, which proves the models working. Now our regulator indicated it expects to publish a draft consultation document as it’s called coming months, end of November, we expected. And after that, the process will take at least a couple of months until mid of next year. They also have to ask the market for consultation, make the final document, pass it through the EU, but it will take some time. There is a belief at the ACM side that there may be a risk that KPN’s access conditions will get less attractive for the market and complicate the possibility for competitors to grow. We do not recognize that, and we look forward to share our ideas with ACM, like we did with the providers in the market. And like I said, we were able to close longer term contracts with those providers. Of course, there is a claim of T-Mobile in the markets, but, well, let’s hope that the new owners of T-Mobile are more reasonable. And then we can sit together and work it out like we do with the other providers, but I’m looking forward to have a good discussion with ACM and to understand the real worries. But like I said, we believe we have a strong position.
Chris Figee: Yes. On costs, Joshua, you think about inflation, if you think about the different cost factors, I mean, the staff is one thing. I think we’ve got an annual CLA increase. As CLA runs into next year, then we renegotiate a new one. For the moment, I think it’s not just about wage increases, other factors are at play. So let’s see how these negotiations work out. For now, I think continuation of our current wage policy is probably fair to assume. And with that, it’s not just a – we’re structurally declining amount of labor capacity at KPN. Let me quickly touch on other components. Energy is a question that’s being raised to us sometimes. The input of that is still limited because we actually forward bought lots of – most of our energy. So I think the energy headwind next year is probably up to €5 million, not more than that, simply because we’ve actually pre or bought forward much of our energy. When energy stays elevated, at some point, the higher price will kick in, but not for next year. We see some inflation in technology prices, but it’s still limited and to also some extent, compensated by the fact we’ve also forward procured quite some of our materials. And on the rest, it means that we have to be smarter in procurement. That means consolidation of procurement, for example, in active and mid- and long tail of our spend to consolidate suppliers. We focus more on catalog buying, more standard buying to control these effects. So in summary, is there some inflation? Yes, there is. So far, it feels manageable and we can counter it by volume assignments and other measures. So it’s not – I mean, it’s costs will no longer be – energy inflation will no longer be a tailwind, is a bit of a headwind, but nothing that would keep us awake at night from where we are today.
Joshua Mills: Okay, thank you.
Operator: The next question is from Mr. Ulrich Rathe, Jefferies. Go ahead, please.
Ulrich Rathe: Thank you. I have two questions, please. My first one is on the inflection of mass-market service revenue. You’re reporting the further expansion of the growth rate, which is good to see. Would you go as far as committing to that remaining in growth really on a quarterly basis over the foreseeable future? Obviously, there is a bit of sort of pandemic help in there, I suppose, at the moment. And so the question is, is this something that you can commit to on a quarterly basis there will remain in growth? Second question is the broadband RGU picture, is this still sort of slight leakage of broadband customers net-net, I suppose, as you lock customers into your own fiber network, but then the copper customers, who are in competitive fiber areas, say they get sucked up by the competitors. So I was wondering, is there a point at which you think the broadband customer-based shrinkage can be stopped? I understand a bit about the higher ARPU and the revenue growth that comes with the dynamics, but simply the – on the volume side, that it can be stopped? Thank you.
Joost Farwerck: Yes, Ulrich, to start with your second question, of course, our strategy is not only focused on fiber, but also on broadband in general. The more fiber we rollout, the better it gets because we strengthened our weakest area first. Because on one hand, we have low quality on copper; on the other hand, we have high quality on copper in certain areas, especially in the larger cities, we can do 200 to 500 megabits per household via double copper line. So what we now saw is that for the first time, we were able to more than compensate the loss on copper by fiber, and by pushing this further and by focusing even more on our copper steering as well. We think in the quarters to come, we will have to grow in broadband, both in business and in the customers by the strategy. So there is a churn on copper, on one hand, and there is a growth on fiber on the other hand. And it’s our focus area to run that balance and optimize that balance better along the road. So that’s what our strategy is about. So last quarter or a couple of quarters ago, we were still in the decline. The copper loss was much higher than the fiber gain. Now it’s more or less breakeven. And on the revenue side, we do better. So yes, step by step, we improved this run rate, I would say. On mass-market growth rate, yes, I’ll – I would say before I hand over to Chris, that it’s also was step-by-step run rate we run here. We identified mass-market is the most important focus point for this year because that’s where 90% of our EBITDA comes from consumer, wholesale and SME. And we – looking at the run rate, we saw the growth coming in SME, but I’m, of course, happy that it’s really visible now. And I would say that, yes, it’s our job there to run the run rate in a better way in the quarters to come as well. Chris?
Chris Figee: Yes. To your point on the pandemic impact, the pandemic impact on revenues has actually been limited on the mass-market. I mean we lost – we gained something on interconnect revenues. On interconnect mobile calls, people calling like 800 corporate numbers. And then at the same time, due to the pandemic, we lost roaming revenues without argue. And that’s, of course, a much more higher-margin business. So our target revenue-wise has been flat to slightly negative, EBITDA margin, probably slightly negative. Perhaps, a bit of a cost benefits due to COVID, but the revenue has not been that much affected by the pandemic. If you look at the coming quarters, if I look at where we are today, I mean – and the upcoming comparisons, I think we’re well set to grow well into next year. So we will show year-on-year growth numbers well into next year, simply looking at the current run rate of service revenues, the underlying growth rate and then the upcoming comparables. As I said, Q4 will be a bit funny because, for example, this revenue correction that we booked was an unfortunate event in Q4 last year and – correction, in Q1 this year. And that, for example, in Q4, we expect mass-market service revenue growth to be by 0.3% to 0.4%, simply because of that comparison and going back to 2% or even a bit higher in Q1, simply because of those technicalities. But the underlying growth is probably around 1.5% to 2% in the coming two quarters, and I can see it growing well to the next year.
Ulrich Rathe: Very helpful. Thank you very much.
Operator: The next question is from Mr. Konrad Zomer, ABN AMRO. Go ahead, please.
Konrad Zomer: Hi, good afternoon. First question is on the healthy e-migration to KPN ONE. I think you did a great job on migrating SME. I can imagine that to migrate large customers, it’s going to take more time while simply more complex. What gives you confidence that that’s running about one year behind the migration of SME? And in particular, what should we expect in terms of revenue loss initially because we did see that with SME. You turned it around very quickly, but I can imagine it can be a little bit bigger in LCE? And my other question is on your statement about shareholder remuneration. We’ve nearly completed the 200 million. I know from talking to several investors that they were looking for another announcement this quarter. It looks like maybe at the start of 2022, you might announce another buyback. You’ve used the word structural a few times, but can you maybe be a bit more specific combined with your leverage ratio, your cash flow profile, but in particular, what that could impact for the share buybacks going forward? Thank you.
Joost Farwerck: Yes, Konrad, I’ll do the first question. Yes. So we migrated all our customers to KPN ONE in the SME segment. That was not done quickly, but took a long – too long as far as I’m concerned, by the way, but we’re there now. And by doing it, migrating them to the future-proof portfolio, enabling ourselves to sell up again to that customer base now makes it possible and doable to grow in the SME segment. So the dynamics in LCE are completely different, although the idea is the same. In LCE, we will migrate the larger customers to a new environment. And once they are there, we’re much in a better shape to up-sell and make our business grow. It’s not that we have to start on that. We already migrated 80% of our LCE base to that new environment. And the difference between how we will follow the last 20% compared to SME is that we found out that the last 20% is the most difficult part, and it’s – and the first 20% is the most easy part to migrate when it comes to customers. So on LCE, we are following a more delicate migration scheme to avoid that we really move customers against their wishes to a new kind of platform. So the dynamics are different. We’re the largest workspace provider in the Netherlands. So there is a lot of workspace for large customers in that base. And it’s not only migrating customers, but also really moving them up to a better protected, higher quality, safer, faster surface. And so maybe it’ll take some more time, but we are super focused on not losing too much business there when we have to migrate the last 20%, but already 80% has been done on LCE.
Chris Figee: And yes, Konrad, on the share buyback, as you pointed out correctly, the 2020 – ‘21 program is nearly finished. I guess it will happen probably in the coming weeks. That standard 2021 program, as in this year, we effectively returned – about the free cash flow that we generated this year, we returned to our shareholders. We said this is a structural part of our shareholder remuneration policy. I mean we’re going to continue this. It doesn’t mean we’re going to announce another one every quarter, but we have announced the 2021 version to 2022 one. We will announce an event. It’s the continuous and a constant part of our reward program, in which we take free cash flow into account, our balance sheet into account with the objective to make this a structural repetitive part of our shareholder reward and we will design it like that. The exact number, I have to keep the spirits up, tension high. We will let you know when we get there, probably be communicated over full year results when we give the outlook for next year.
Konrad Zomer: Okay, thank you very much.
Operator: The next question is from Mr. Polo Tang, UBS. Go ahead, please.
Polo Tang: Yes. Hi, thanks for taking the question. I just have one. It’s really just about EBITDA. So your EBITDA growth year-to-date is plus 0.3%. And to achieve your guidance for the full year, you need close to 4% EBITDA growth in Q4. So can you maybe just talk about what makes you so confident that you can achieve this step-up in growth? Can you maybe talk through some of the key moving parts? And what does this mean for the trajectory of EBITDA growth into 2022? Thanks.
Chris Figee: Yes. Polo, it’s Chris here. I think it’s – for Q4, it’s easy to talk about the earnings that you need rather than the growth, and we’ve given a guidance for the year. If you go back, you can almost like backwards sold, the amount of EBITDA you need to get there, which will then is a growth over last year. And again, last year, if you remember, Q4, we had relatively low EBITDA. So the growth will look good. It’s about the absolute level of EBITDA. And I then look what we need or we guide for Q4 and compare to Q3. For example, the Q3 EBITDA level was effective. September of Q3 is always high, the classical release of the holiday provision and some other elements. If you strip those out, we need to continue to run at the current underlying earnings rate to do a bit better, and then we will hit the number that will require – that we’re required to meet to meet our full year guidance. And the growth is a function of that. So to me, it’s more about confident on the euros we will make in the quarter, and that actually is a continuation of the current structural earnings rate of the group. We have some slight improvement that we think is actually feasible. And then the growth number comes out of that, but it’s the euro number that we should drive the guidance, and we’ve got all comfort in that.
Polo Tang: Okay, thanks.
Operator: The next question is from Mr. Andrew Lee, Goldman Sachs. Go ahead, please.
Andrew Lee: Yes. Good afternoon, everyone. I had two questions. The first was another question just around the pandemic impact on your topline growth. Obviously, you had a successful period upselling, which is driving your strong growth in the quarter. Just how confident are you that this isn’t just a temporary phenomenon caused by a pull-forward of demand for higher speeds, given the work-from-home, etcetera, as set up across Europe in the Netherlands for you guys, i.e., we’re just seeing like an acceleration of people’s willingness to pay more for more right now that doesn’t necessarily continue? So that’s question number one. Second question was just on B2B. Given your success in inflecting the revenue growth of SME, where does that put you or does that pull forward your inflection on B2B altogether and timeline on that? Thank you.
Joost Farwerck: Well, when it comes to COVID effect on our topline, we’re not benefiting that much from COVID. We think there is a lot more to upgrade to do in the Netherlands than we currently see. This is the Netherlands. So, when we started on fiber, people started to buy 50 megabits. Currently, 100 megabits is more the average. So, we don’t think that during the pandemic people asked for an upgrade, and later in the time, they will ask for a downgrade again. Once you are up on 100 megabits or 200 megabits and you found out the difference, people will not move back. By the way, we also price speeds on fiber more attractively last quarter, because we really try to motivate our customers to do an upgrade. But we didn’t see a real relation between pandemic, COVID kicking in and upgrades being asked. It’s a more delicate line that we see there. So, we think now we roll out fiber and we move to XGS PON, which is enabling us to upgrade to 10 gigabits per households. We think there is far more potential in upgrading our customers in the years to come. And on B2B, well, we announced that we were going to stabilize our SME business second half of this year. So, we are a bit ahead of the track with a slight growth in that segment, so that’s good. And of course, now the jury is out, first of all, keep the growth in SME. And secondly, how to inflect the other parts of that B2B business. And when we aim for that, and we are – I think we are ready for an update on that when we release our annual figures next year. And for us, that of course is a super important milestone because then we have a full top line growing again, but we are confident we are going to do it. But we don’t want to over promise now. It’s the first quarter we see the SME market growing. So first, keep that under control and then soon, we will come back to you on how to inflect the other part of B2B.
Andrew Lee: Thank you.
Operator: The next question is from Mr. Luigi Minerva, HSBC. Go ahead please.
Luigi Minerva: Yes. Good afternoon. Thanks for taking my two questions. So, the first one is on CapEx. And I was wondering how do you see the CapEx profile evolving in the medium-term. I think Joost, you signaled CapEx normalization starting from 2022. But then when the 5G network densification kicks off, what sort of impact will it have? So, do you think that the capital intensity eventually will kind of start growing again if you think about the next 5 years? And perhaps, related to that, but moving to the shareholders’ remuneration. So, how do you make the share buyback a structural component? And obviously, you create a very strong signaling system. And I was wondering whether CapEx at some point becomes subordinate to the shareholder remuneration? So, in other words, whether the CapEx number becomes even more discretionary for the sake of keeping a gradually increasing shareholder remuneration? Thank you.
Joost Farwerck: Yes. Luigi, last year, when we announced our strategic plan, we were fully aware of the fact that we were increasing our CapEx to a level of between 1.1 and 1.2 related to the rollout of more fiber in the Netherlands. With that CapEx envelope, we think we stretched the level of investments in the Netherlands. And it’s a huge amount of CapEx for a country like the Netherlands. And what we expect is that after 2026, when we are done because then we rolled out 80%, and we expect other initiatives to cover the other 20% in the Netherlands. So, the whole Netherlands is connected to fiber then. It makes sense to put in the program that we will step down significantly on CapEx. Now in our industry, there is always a promise of a short-term step up in CapEx and a longer term step down, and we are aware of that as well. So it is, for us, super important that we stick to the program and we keep our promise. 5G is something we really are very prudent on. There is an auction coming up next year. We already rolled out the network. The network is 5G ready on 5,000 sites, which covers the Netherlands. But we are not trigger happy to start rolling out to a more dense network, thousands of sites in the Netherlands because we really are working there business case based. So, we have some field trials out there, but – and we are scanning all over the world, what’s happening on 5G. It’s super fantastic what one can do on 5G on certain locations, but it really should pay back before we do the investments. We have seen in other countries so many investments in such – yes, doubtful business cases that we really are prudent there. And so I don’t think we will start to work on a network that’s covering the 5G 3.5 gigahertz spectrum kind of speeds through the Netherlands. It really is going to be business case by business case.
Chris Figee: Yes. On the CapEx, Luigi, to add to that, I mean if you think about the CapEx ratio, I mean our fiber, we are spending between 8% and 10% of our revenues on fiber. It depends a bit on what quarter you look at. Non-fiber is between 12% to 14%. It fluctuates a bit per quarter, but you get like 22%, 23% of revenues on CapEx. That is we are fully aware that’s a significant spend. And as Joost said, as soon as the fiber program is done, the victim of the fiber program will obviously fade away and you get to an underlying fiber CapEx profile, which is probably more in line with what the European telcos are, much more in line with our non-fiber spend. And that’s the way we look at it. If you think is it subordinate to shareholder returns, look, the way we think about it is this, you look at your CapEx that you can structure into different buckets. There is the bucket that has to do with maintenance, life cycle management, dealing with increased traffic security. That is your license to operate that you will always have to invest to make sure we keep our business running. That’s CapEx related to the customer CapEx. And to me that – in general, that good CapEx provided, of course, yourself profitable products, but assuming that there are business profitable, consumer CapEx tends to be good CapEx. And then there is CapEx, which is more growth oriented, like – which I would call it fiber at some point growth-oriented CapEx. And it’s pretty clear that, that needs to make an attractive return. And what we tend to do, of course, is look at the ROI, the IRR of the CapEx you invest there. And of course, you always keep in mind how does the IRR of that CapEx stack up to, for example, buying back your own shares. Now that you need, we could swing CapEx of €100 million every year and buyback shares and back and forth, but it’s a good disciplining factor to make sure that the return that you make on the CapEx stacks up to the alternative of buying back your own shares. And that to me is the most – is a very disciplining factor in determining how much if you spend in growth and innovation and new products, new initiatives. But when it comes to our shareholder remuneration policy, I think ultimately, I think you and we want our shareholder returns to be founding continuously growing free cash flows. And we designed a program that our cash flows can grow in the coming years. You will see it according to our guidance, and you can top up that with whatever room you have got on your balance sheet. The long-term, it’s important that your cash flow will grow. CapEx is an important element to it. And as Joost alluded at some point, the fiber part will become less and then your CapEx will come down and free cash flow will step up. And that will obviously have repercussions for the positive repercussions for shareholder returns.
Luigi Minerva: That’s great. Thank you.
Operator: The next question is from Mr. Usman Ghazi, Berenberg. Go ahead please.
Usman Ghazi: Hello. Thank you. I have got a few questions, please. The first one was just on the extension of wholesale agreement that you have announced this quarter. I mean could you perhaps illustrate if – whether these were tough negotiations and what were kind of some of the puts and takes that you had to concede to or to get these agreements done. And over what period are these agreements? Are they similar to the previous agreements you used to do with about 7 years ago, or are these shorter and color there would be helpful. And then just on the topic of fiber as well [Technical Difficulty]?
Reinout van Ierschot: I am afraid we are losing you a bit when it comes to the quality of the line. It can’t be KPN so probably something on your side.
Usman Ghazi: Okay. Okay. Sorry. Is it better now?
Reinout van Ierschot: Yes, it sounds better. Sorry. Would you please repeat your second question?
Usman Ghazi: Yes. The second question was just on the copper shutdown that you did in six areas in the Netherlands this quarter. I believe it was 40,000 kind of connections. I mean during that process, it would be great to know what your experience was, whether there was a situation where there had to be any forced migrations of remaining customers, or whether it was just the demand for fiber just led to a natural kind of migration in that process? Thanks.
Joost Farwerck: Yes. Usman, thanks for your question. Good to hear you speak a bit Dutch as well nowadays. When we come to wholesale agreements, I mean we have these long-term relationships with several service providers out there in the Dutch markets, not only T-Mobile, but a lot more. And the reason why we have a good relationship is that we try to optimize the business model on both sides. So, we make it doable for the smaller service providers to plug in on one or two locations in the Netherlands. And via that, we can serve them on broadband through the whole country, which makes it far more efficient on their side. And for us, a bit better as well because it’s on the active layer of the network and therefore, we are generating a bit more margin. So, it’s a win-win kind of situation. And I think that’s why we – it’s not only a storyline we tell to convince our regulator that everything is working in the Dutch market, but that open network model, that open access network model is really working quite well for both our customers and ourselves. Yes, the copper switch-off and the migration to fiber in those areas is of course, very important for us. We have been talking for – on that topic for years now. Also there, we use ACM’s guidance to announce switch-off in certain areas 3 years in advance, if I am not mistaken. But also these areas are not new, they are all our areas, so already 5 years to 8 years old in some cases. So, it’s known that we of course, have to, at the end, switch off the legacy network. It used to be copper, but we have changed our fiber model a bit. So, when we roll out fiber, we are more focusing on migrating our customer base to fiber in the early stage, sell up and migrate, complementary fiber upgrades early in the process than we did in the past to make that migration possible. And also the other providers, the wholesale providers, most of them are following that because it’s also of course, important to sell fiber in five areas. So, we did the switch off – I think you are right, 40,000 lines, something like that and that was more a pilot in a couple of areas. We are very satisfied that we really switched off the whole MDF and the number exchange in those areas. And in 2023, the real program kicks off, then we are really going to disconnect several areas with a large base of copper and that is important. Because of the costs related to the copper network, the service tickets on copper are much higher than on fiber. It’s more expensive to maintain the copper network in general in the Netherlands and fiber. So, when it comes to efficiency, it’s important to do the copper switch off and we really will start a real program in 2023.
Chris Figee: And to your point on to what are forced migrations, I mean not really. I mean we learned that this copper pilot is kept, very important to start early on, communicate early and frequently to customers. If you communicate early on that it’s going to happen, are very clear and we repeat that, that customer eventually will move from copper to fiber. And as you know, we have got an offer where for the same speed from copper to fiber, you don’t pay extra for the same speed. So, for a client, for customers actually, if he or she wants to stay at that current speed level, that’s actually no additional cost. Just to make sure that there is always customers who do not respond, then you have to chase and make sure you connect with them. And it’s not the unwillingness of the customer. It’s like that sometimes customers don’t pick up the phone, don’t read their e-mails, don’t read their letter. So, it’s not – it’s more that pointing them to it and then having the last bunch of customers that you actually have to personally connect, go door-to-door rather than the forced migration. It’s about making sure you connect with customers on time, and it’s all about preparation. And we see the way prepared well early on. Those transitions actually goes pretty smooth. And that’s where you are late or later, you have got much more work to do to migrate those customers.
Usman Ghazi: Great. Thank you. Just one follow-up, this should just be – just on the length of the wholesale agreements that you have recently signed, I mean are these kind of 7-year kind of length deals similar to what you used to have, are these shorter in length?
Joost Farwerck: No, they are multiyear contract. They vary by customer, but they tend to be multiyear contracts.
Usman Ghazi: Great. Thank you.
Operator: The next question is from Mr. Jakob Bluestone, Credit Suisse. Go ahead please.
Jakob Bluestone: Hi. Thanks for taking the questions, fairly quick. Firstly, just on the business segment, you mentioned the challenge of migrating the last 20%, the hardest ones. Just to be clear, I mean do you think you can actually see some of the non-SME revenue segments worsen as you try to migrate those? I mean if I look, for example, your Tailored Solutions revenues that went from sort of minus 4% to minus 5%. And the LCE sort of looks like it’s fairly unchanged at minus 6% year-on-year. So, just interested whether you think it could actually get worse before it gets better just so we sort of understand the glide path. And then just secondly, I see there was some press coverage that Vodafone Netherlands has had three service disruptions in October, a little bit difficult for us to gauge from outside the Netherlands. How significant that is? Just interested in hearing, is that significant from your point of view? Is that something you should materially benefit from? Thank you.
Joost Farwerck: Yes. So, on B2B, what I mentioned when I said the last 20% is difficult that there is always customers that just don’t want us to touch anything, and sometimes they are right, by the way. So, that’s always the toughest part of the whole migration program. It doesn’t mean that we are going to push our business additionally down. So, I don’t see the trend worsening related to the migration in B2B. We are not super happy with the current developments. It’s our aim to inflect to positive growth. So, the whole migration is around improving the run rate at the end and keep it where it is in the short-term. So, I don’t see the trend worsening. On Vodafone and the outages in the Dutch market, there is an old habit of not making jokes about competitional failures because before you know, it bites you in your neck. But the only thing I can say that it’s super important to invest in quality of our network and that’s what we are doing. So, we are focused on our end. We decided to upgrade our core mobile network to migrate it to Ericsson or investing in our core and access networks intensively. And we are focused on that, but we never think that we can benefit from bad news on competition. That is a negative business model and not good for the business in general, I would say.
Jakob Bluestone: Thanks. Thank you.
Reinout van Ierschot: Okay. Thank you very much. Thank you, Joost, Chris. That concludes the Q3 call. If there is any further questions, please contact the Investor Relations team. Operator, over to you.
Operator: Thank you. Ladies and gentlemen, this concludes today’s presentation. Thank you for participating. You may now disconnect your lines.